Operator: Good morning, ladies and gentlemen. Welcome to the Martinrea International Fourth Quarter and Year End for 2015 Results Conference Call. Instructions for submitting questions will be provided to you later in the call. Please be advised that this call is being recorded. I would like to turn the conference over to Mr. Rob Wildeboer, Executive Chairman with Martinrea International. Please proceed, sir.
Rob Wildeboer: Good morning, everyone. Thank you for joining us today. We always look forward to talking with our shareholders and we hope to inform you well and answer your questions. With me this morning are Pat D’Eramo, Martinrea’s Chief Executive Officer and President; and our Chief Financial Officer, Fred Di Tosto. Today, we will be discussing Martinrea’s results for the quarter and year ended December 31, 2015. I will make some opening remarks and discuss some highlights of the company’s past year and performance and talk a little about our industry. Pat will make some operational and strategic comments. Fred will review the financial results, and then we will open the call for questions and we will endeavor to answer them. finish up with some broader comments about our company. Our press release with key financial information discussed on a fairly detailed basis has been released. Our MD&A, AIF and full financials have been filed on SEDAR and should be available. These reports provide a detailed overview of our company, our operations and strategy, and our industry and the risks we face. Given the detail in our press release and filed documents, our formal remarks on the call today will be generally overview in nature. However we are going to give you a general state of the union. We’re very open to discussing in our remarks and we hope in the Q&A some highlights of the quarter or year, the state of the industry today, how we are addressing the challenges and progress in our operations. As always, we want you to see how we see the world. As for our usual disclaimer, I should note that some of the information that we are sharing with you today may include forward-looking statements, even if qualitative. We remind you that these statements are based on assumptions that are subject to significant risks and uncertainties. This is particularly the case given the present automotive and economic environment. Although Martinrea believes that the expectations reflected in these forward-looking statements are reasonable, we can obviously give no assurance that the expectations of any forward-looking statements will prove to be correct. Our public record, which includes an AIF and MD&A of operating results that I just mentioned is available on SEDAR, and you may look at a full disclosure record of the company there. I also refer you to the disclaimers in our press release, our MD&A and our AIF. So with those formalities out of the way, let’s talk about the year just past. The year 2015 was a great year for Martinrea and our committed Martinrea team. It was a year of focus on our vision, delivering on our mission, and applying our guiding 10 principles throughout our company. When these things are prioritized, good things happen. And we achieved improved and record results according to a number of metrics. But first, our vision for the future: to be the best, preferred and most valued automotive parts supplier in the world in the products and services we provide our customers. This is aspirational for us: what we intend to be, where we want to get to -- we made positive strides in 2015. Our mission is: to deliver, first, outstanding quality products and services to our customers; second, meaningful opportunity, job satisfaction and job security to our people through competitiveness, improving growth; third, superior long-term returns to our stakeholders; and fourth, positive contributions to our communities as good corporate citizens. So let’s look at 2015 in view of our stated vision and mission. Items 1 and 2, quality products and services to customers and dealing with our people, Pat will address with you in a moment. As for item 3, if we take care of our customers well and take care of our people well, we will have a better business and can provide good returns to our stakeholders, both our lenders and our shareholders. We’re very pleased to report improved financial results in 2015, a record year in many respects. Fred will get into the numbers in a few minutes. In sum, our company delivered on our promises on the financial side in 2015, and to use a hockey analogy, we continued to put pucks in the net quarter by quarter, executing on our plan. Our prediction is that all these metrics will continue to improve in 2016 and then again in 2017. Even if the North American or world market for automotive production is flat or shows little growth. Another key element of our mission is to provide positive contributions to our communities as good corporate citizens. In this regard, probably the best thing we do is provide meaningful and productive work for our people, allowing them to be pillars of their communities as they raise their families and provide for their loved ones. But we contribute to communities in many ways. We tend to buy a significant amount of our products and services locally. We support local charities. A number of our divisions work hard on local education, skills development, co-op programs and the like. We contribute to policy initiatives in many places at the local state or federal government level. We are good source of tax revenue. In each of our 48 facilities, including plants, offices and testing centers located in eight countries on four continents, we recognize the importance of being seen not only as a large international company but as a pillar of the local economy. As such, we have Canadian, American, Mexican, German, Spanish, Slovakian, Brazilian and Chinese identities. We will be cheering for many countries in the 2016 Olympics. There is also a good business aspect to good citizenship. Of course, our people feel good and they feel proud to be part of our company as we strive to be good for society. At Martinrea, we're well aware that we operate in a global industry and macro events affect us in the automotive parts business just as they affect us all in our personal lives. In the past year we’ve seen many significant, some might say monumental, changes in the world scene, all these affect us. It’s perhaps ironic that since year end in a period that reflects in many ways the best of times for our industry, our valuation has decreased, although our enterprise value or EBITDA multiple seems to be in the range of other market participants or has improved on a relative basis in many cases. We are positive and optimistic about our industry. We recognize it is perceived as cyclical and it has gone through some tough times periodically. Industry volumes affect our revenues in many ways but our views about overall volumes are positive and can be summarized as follows. The automotive industry worldwide remains a growing one, as worldwide volumes are anticipated to continue to increase, not decrease. We do have presence as a supplier in China and while there’s certainly been a slowdown in China, it remains a robust automotive market which is anticipated to grow. Our presence there is small at the present time but our plants are likely to grow just based on the book of business we have today. We have a presence in Europe, which has seen some increases in volumes and is doing better as a region than a few years ago. Our presence is anticipated to grow based on booked business for our operations in Spain and Germany which is aluminum-based business and Slovakia which is fluid handling systems based business. North American volumes were robust in 2015. Some commentators have stated they may have plateaued and that is causing concern for some. Our view is that volumes are going to continue to stay strong and may increase for the balance of the decade. Even in a time of general market caution, our view is that the fact remains that there are number of special and critical tailwinds for the North American automotive industry that remain in place in 2016, at least today. Population is expanding, miles driven is expanding. Mexico is experiencing a positive wealth effect, increasing vehicle purchases. The average age of the typical vehicle in the United States is close to 12 years, up from eight years just 10 years ago. Financing rates are low; auto inventory levels remain at historically reasonable levels; the U.S. housing market is not overheated; consumer debt levels in the U.S. have improved; the North American economy is growing albeit at a very moderate rate. In addition to those factors, low oil and gas prices increase the affordability of driving a vehicle and lower commodity costs decrease our customers’ costs in making a vehicle. It is to be remembered that current vehicle volumes are not at historically inflated levels – volumes today are similar to what they were 15 years ago or 10 years ago. We have certainly seen worse automotive environments. As it relates to our position in the industry, our core product offerings are focused on areas critical to our industry. Our steel metalforming and aluminum businesses are focused on providing quality structural parts to the industry that are not only safe and strong, but lightweight. We are a company that is at the forefront of the trend to lightweighting of vehicles, in order to improve fuel economy or reduce carbon footprint. Our fluid management systems business is a leading edge provider of environmentally friendly fluid systems. Our capless filler products, for example, reduce pollution. Our coatings on our fluid management systems products are environmentally friendly. In sum, we have products that our customers need and we are leading edge providers of them. We would be remiss if we do not outline our guiding principles in our message to you. They are core to us. We raise them in every critical meeting with our people. They form part of our investor and sales presentations. They reflect the way we run our business and treat our people, and they guide us as we perform our mission and fulfill our vision. We believe our success will ultimately be based on the application and execution of our guiding principles, applied with integrity, in all that we do. We firmly believe that if you lose the principles, and don’t follow them, you lose your way. So briefly, here is the list and you’ve heard it before. We make great, high quality products. Every plant division must be a centre of excellence. Be disciplined. Discipline is Key. We attract, train and work with excellent people, and we get our people to perform well. We are a team. Challenges make us better. Think Different. Work hard, play hard. The Golden Rule – show dignity and respect in all that you do. And finally, our leadership team has to drive these messages consistently and simply. Leadership means having the will to ensure we get the right things done the right way. And in all this, leadership has to act with integrity. If we strive to do the right thing, things will work out. That is our tone at the top, with our board, with our senior management, and with us. And now here is Pat.
Pat D’Eramo: Good morning and thank you, Rob. I tell the team at manufacturing to never be too proud of what they do for fear that it might inhibit change that is crucial to continuous improvement. However it's always good to be happy with your accomplishments and proud of the people who made it happen. So sitting here a year and a few months from when I started, I can say I am very proud of the Martinrea team. But I have a special affection for the manufacturing folks. It’s truly been a team effort, including all the critical functions that allow you the plants to do what they do best: make great quality parts and assemblies for our customers. Rob mentioned that I would touch on a few key aspects of our mission, so let me start with those. First, we deliver quality products and services to our customers. Our quality performance improved throughout the company. A number of our plants won quality awards from various customers. Our delivery is best in class and our launches reflect the hard work and effort of our new plants and programs, certainly a significant improvement from our recent past. To provide even more evidence of our improved customer satisfaction, we have won nearly 500 million in new business in 2015. These product awards were from a variety of customers and covered all our product area: metalforming, aluminium, fluid handling and our module assembly business. Our emphasis on continuing to build on our operational excellence, lean manufacturing and program management is bearing fruit. Second, our people are critical to the success of our company. It is crucial to develop our talent internally and promote high performance culture in all of facilities throughout the company. This is another focus area for Martinrea in 2015 and beyond. Good performance provides job security, job satisfaction and opportunity for our people. We have over 14,000 people at Martinrea and they know that with a growing profitable business comes job security and opportunity. Our health and safety metrics throughout the company have improved tremendously as we strive to be industry leaders in this important area. We continue to pursue operational excellence and a learning culture of continuous improvement. We’re reminded of the fact that Martinrea is a young industrial company of only 15 years, a company that has been created through the acquisition of many businesses as well as organic growth. It is mission-critical to continue to develop our own culture: the Martinrea way. Our tone at the top, our approach to our people is at the core of what we are doing here. And that message is taking hold. I believe this company has a tremendous future with a great group of people to work with. We have the ability to build on our successes as well as our lessons learned to assure that we take advantage of the opportunities before us. I believe in the development of talent internally as well as making a solid team. I'm a strong supporter of operational excellence and developing a learning culture the Martinrea way. This means that we are focusing on the power of our people, developing skills internally with the 2016 launch of the Martinrea Scale [ph] University, enhancing compensation to better reflect customer and investor expectations, launch a companywide communication system to promote the one Martinrea way. We've made good progress and I look forward to continuing it in 2016. For operational excellence we like to say the floor is core. And I have spent a lot of time in the past year in our plants. We have 44 facilities and I have visited 41 of them, many on multiple occasions. We have some great plants, some of the best plants I have ever seen in my career, and we have some that face challenges. All can improve first by scaling up what we already do well and of course we continue to roll out and teach the lean tools of the Martinrea manufacturing system. Our efforts are paying off as you can see from our improving results. We’ve come a long way and the good news is, and I mean good news, we still have a lot of grass to mow. We're institutionalizing lean thinking across the organization with the philosophy of train by doing. We continue to improve and commonize the supply chain and advance plant productivity with new flexible process designs. We've also improved our financial management capability, promoting a cost down culture in everything we do. Our cash flow is improving both in capital management as well as working capital. We like to think of our customer as king, driving quality improvements and providing solutions. We’ve reinvigorated our R&D activity focused on product innovation. And as I said earlier, we continue to improve our program management as reflected in our recent launches. As I said, just after I started, these core concepts are not going to sit on the shelf. They are going to be and are being deployed. The name of the game is good planning, execution, reflection and improvement. And now for the financial snapshot, let me turn it over to Fred.
Fred Di Tosto: Thanks, Pat and good morning everyone. The fourth quarter was another solid quarter for us. Sales grew year-over-year and operations continued to improve. Fourth-quarter sales, excluding $63 million in tooling sales, were $973 million, just above the high end of our previously announced sales guidance range. Overall production sales increased by approximately 13% year-over-year in large part due to foreign exchange translation from the weakening of the Canadian dollar against the US dollar. In addition to foreign exchange translation, year-over-year production sales benefited from the launch of new programs, including the Ford Edge, Ford Transit, GM Colorado, aluminum knuckles and control arms for Jaguar and Land Rover in Spain, and the continued ramp up of our new operations in China and Slovakia. These positive factors were offset by lower production volumes on certain platforms late in their lifecycle, such as the current GM Camaro and Equinox, higher than normal roll off in our Martinrea Honsel, Meschede, operations, which we have discussed in the past as a temporary lag in production and the plant shutdown of Chrysler’s Pentastar engine platform for retooling. Total sales for 2015 came in at $3.87 billion, up nicely year-over-year from just under $3.6 billion in 2014 for reasons highlighted in our year-end MD&A. The company has grown significantly over a short 15 year streak and it’s nice to say that we are approaching $4 billion in sales. The growth rate in the business over its very short history has been staggering and is a testament to our capabilities in the eyes of our customers. From a bottom line perspective, the fourth quarter was a record fourth quarter for us. Adjusted net earnings per share in Q4 on a basic and diluted basis was $0.34, up year-over-year from $0.27 per share in Q4 ‘14 and quarter over quarter from $0.30 per share in Q3 ’15. The Q4 adjusted net earnings per share was at the high end of our previously announced earnings guidance range. We did reports on modest adjustments for the quarter as noted in our MD&A representing restructuring costs in our Martinrea Honsel, Meschede operations and some in Brazil as the economy there continues to lag. Depending on production volumes, we may have one more round of cuts in Germany in ‘16 but we are not expecting it to be significant as planned future cuts are now expected to be significantly lower given the number of reductions we were able to achieve in ’15. All of good activity in progress in making Germany more competitive and more profitable when it comes back from this temporary lag in production which we expect to start in ’17. Fourth quarter operating income and EBITDA margins improved year-over-year, despite continuing pre-operating and launch costs at new plants and customer shutdowns for retooling, including the slowdown in our Martinrea Honsel, Mexico facility as Chrysler moves to the next generation Pentastar engine. The year-over-year strengthening of our operating income margins in North America continued in the fourth quarter as the US metallic operation showed year-over-year improvement. Our operating income margins in Europe did come back in the fourth quarter to levels that were consistent with Q4 ’14. The impact of year-over-year lower production in the company’s Martinrea Honsel operating facility in Meschede, due to higher than normal roll-offs as noted, was essentially offset by the ramp up of the company’s fluid plant in Slovakia. Fourth-quarter pre-opening and launch costs in Spain where we are launching a significant amount of work for Jaguar and Land Rover remained relatively consistent year-over-year. Our adjusted EBITDA for the quarter was $83.3 million, or 8% of total sales, representing a strong 22.6% year-over-year increase. We also saw a margin improvement for the year of 2015 over 2014 as we worked toward our target operating income margin of 6% by 2017. Our operating income margin for 2015 was 4.6%, up nicely from 4.1% in 2014. We continue to expect steady improvement over the next two years. Adjusted EBITDA for the year came in at a record $317.8 million, or 8.2% of total sales representing a strong 17.5% year-over-year increase. Looking forward to the first quarter, we are expecting another solid quarter as we start the new year on a positive note. Sales for the first quarter, excluding tooling sales, will likely exceed $1 billion for the first time and net earnings per share is expected to be in the range of $0.35 to $0.39 per share. Q1 earnings guidance reflects the continued shutdown of Chrysler’s Pentastar engine plant as Chrysler moves to the next generation engine block on which we not only maintained our existing casting business but also incremented with all the machining business which was previously done by one of our competitors. We expect the engine program to ramp back up in March and be back at full volume by the second quarter. We are planning for a 2015 effective tax rate of between 23% and 27% depending on mix of earnings and execution of tax planning strategies. I also just wanted to quickly touch upon the balance sheet. Net debt for the fourth quarter decreased by $24.6 million quarter over quarter. Our trailing net debt to EBITDA dropped quarter over quarter to 2.17 times from 2.35 times. Excluding the impact of foreign exchange translation, net debt decreased by $22 million during 2015 as you can see in our 2015 statement of cash flows. One other large reduction, we're on our way to our target which still remains to be 1.5 times net debt to EBITDA by the end of 2017. We expect net debt levels to increase in Q1 due to seasonally higher working capital levels but our net debt to EBITDA ratio to not change significantly quarter over quarter. Thank you and I am now turning it back over to Rob.
Rob Wildeboer: Thanks, Fred. We want to thank all of our stakeholders for their tremendous support in 2015. Our employees have helped build a company that is getting better all the time. They are dedicated and they work hard. Our customers continue to value us and show their faith in us by allowing us to help build their vehicles. Our lenders have always been there for us. Our shareholders have supported us. We will continue to focus on improving shareholder value over time, as we have done. It is with immense pride and respect that we serve you all, and we will continue to do our very best to serve you well. We really have fun doing what we do, as do our people, and we believe our efforts in 2016 will result in our best year to date. We look forward to the future. I think we have summarized some things for you, we’re bullish for the future and it’s time for questions. We see, we have shareholders, analysts and even some competitors on the phone. So we may have to be a little careful with our answers. But we will answer what we can. Thank you all for calling.
Operator: [Operator Instructions] And the first question is from Mark Neville from Scotiabank.
Mark Neville : You had some margin pressures in Europe recently and some of that was due to launches in Spain and Slovakia. But this quarter we saw a very impressive sequential improvement, you called out the plant from Slovakia. So just maybe if we can get a little more color what’s happening there, are the headwinds sort of largely behind us there, and was it, if I am not mistaken, sooner than expected?
Pat D’Eramo: I will address that. So clearly Slovakia is starting to contribute to our European margins. Volumes are coming up and margin is improving as a result of that. The other thing that kind of took hold in Q4 and we’ve talked about the restructuring activity in Germany, we pushed up a lot of that restructuring activity in 2015, so we were able to achieve that, and as a result we saw a nice pickup from that on a run rate basis in Q4 as it relates to Germany. Going forward we’re going to see a little bit of pressure in Germany as the volumes come down, again we’re going to see this temporary lag in production, it’s going to peak in 2016, and then start coming back in 2017. But that will be offset as Slovakia and Spain continue to mature and execute on their backlog. So we’re expecting continued strength in our European margin going forward as Spain and Slovakia ramp up.
Mark Neville : And what’s happening, is that a little ahead of schedule or sort of as you expected I guess in Slovakia?
Pat D’Eramo: Well, the restructuring is ahead of schedule, so it’s helping in the short term. But again there would be some pressure there on the volume side in Germany over the next 12 months.
Rob Wildeboer: We’re doing a good job there.
Mark Neville : And Germany, it ramps back up in ’17, I believe you said?
Rob Wildeboer: Starting ’17, yes.
Mark Neville : So just on the margin again, you did touch on it but I guess seasonality you saw it, I think, last quarter you said you weren’t expecting much improvement in the near term but again we saw a nice sequential bump, so again, I guess this maybe is a bit too high for sort of a run rate, just sort of work or base to work off again on the seasonality side but I guess you’re more optimistic or positive, or whatever way you want to use to describe it now than you were in Q3 on your European margin near term?
Pat D’Eramo: The Germany piece was a nice surprise, I was expecting some improvement there but there was more – they came from the restructuring. So again I think the Q4 running that as a run rate for 12 was probably on a little high but generally speaking it’s heading in the right direction and I will point to our outlook. Our outlook overall hasn’t changed, we still expect to be at greater than 6% operating margin in 2017.
Mark Neville : And then just one more then, the Chrysler plant in Mexico, the retooling, just give us a sense of how big of a headwind this is sort of Q4, Q1 and I think you said it ramps back up in March, is that correct?
Pat D’Eramo: It starts ramping back up in March, should be at full volume again in early Q2.
Rob Wildeboer: We’re not going to get too specific on the plant itself. But that is a good plant for us and obviously it’s hurt us on the revenue side and on the profit side but it starts to ramp up now and should be fully ramped up in Q2 again.
Mark Neville : And when it does ramp up, big areas of your business, you mentioned you’d be doing the machine as well, so just curious how much larger, how much more content you have?
Pat D’Eramo: Well the machining we did approximately 30% to 40% of all the blocks we cast, on the new generation we have all the machines, so 100%. And that was previously done by one of our competitors.
Operator: Thank you. The next question is from Tammy Chan [ph] from BMO Capital Markets.
Unidentified Analyst: Hi, this is Tammy [ph] on for Peter Sklar. You had a noticeable decline in the EBIT margin in North America this quarter. Can you just discuss what were the larger or largest regions accounting for the margin decline?
Pat D’Eramo: This is Pat. Part of that was mentioned with the revenue loss on the Pentastar engine which is temporary. We’re launching in Riverside – actually the launch is going well but the volumes have not been at the same rate we expected, at least out of the shoot. But now that has picked up and changed, so we expect to see that continue to improve. Those are probably some of the bigger ones. We also had a customer shutdown unexpectedly at the end of the year just due to their volume issues and they needed to reduce their inventory, and that affected a few of our plants as well.
Operator: And the next question is from Todd Coupland from CIBC.
Todd Coupland : I wanted to talk about the balance sheet, if I could for a second. If I just think about your target of 1.5, and what cash flow might look like? Would it be reasonable to assume that your goal in absolute dollars would be to reduce total net debt by $225 million to $250 million over the next couple of years?
Rob Wildeboer: Well, we haven’t thought about it that way, but reducing – I mean we haven’t been as specific in the context of a number but obviously as you improve that ratio, cash flow goes up, and/or debt goes up, we want to do a bit of both. Certainly cash flow is going to go up – looking at Fred – we kind of look at the –
Fred Di Tosto: No, no, we have – Todd, I would say that yours is probably on the high side. We’ve talked about paying down debt over the two to three year period after we came out with our 1.5 leverage ratio guidance. And we highlighted at that point that we’re going to pay down some debt but it’s not going to be enormous amount of debt. We have lot of demands on capital at the current time with the growth of aluminum, so we’re going to invest in the business. We are focused on paying down the debt, we’re going to chip away it over the next couple of years. At the same time our EBITDA margins are going to increase, so the two are balanced, the combination of two, I think, your estimate is on the high side.
Todd Coupland : So more in the 100 million range than 200 plus million range –
Fred Di Tosto: I won’t comment specifically but I think you’re getting close.
Todd Coupland : And then just on the CapEx point, I think you are kind of running in the 200 million range right now. Should it move higher from that level or will it hold in that range over the next couple of years?
Fred Di Tosto: Sorry, I missed you at the beginning – you’re referring to CapEx, right?
Todd Coupland : Yes, CapEx, so I guess, it’s roughly in the 200 million now, should it stop there, should it trend down over the next couple of years?
Fred Di Tosto: In the past what we said is that we expect the next couple of years to be fairly stable. So this year – sorry, 2015, our additions came in at 215 million, guided to both 220 million. So we’re slightly short of that, despite FX increasing that number, a lot of it was timing, so some of that’s going to squeak into 2016. So in terms of 2016 I think it would be about 230 million, that’s kind of what I am seeing right now. And a lot of it is going to aluminum. So 50% of it is aluminum based and given the growth in that business, I think I am expecting based on quoting activity ’17 to be fairly similar.
Rob Wildeboer: And part of the reason it is 230 as opposed to 200 or so has been the change in FX over the last while. Most of our CapEx is outside of Canada.
Todd Coupland : That sounds good. And then with all the puts and takes for your European business, the divestiture plus the shifting in the programs and what not, can you – is it reasonable to assume that you can hold the business flat on a revenue basis year on year or yes – can you comment on that?
Rob Wildeboer: Yes, I think so. And I think over the next while it’s going to go up. I think there is a soft spot in Meschede in 2016 as Fred talked about. You are right that we sold the Soest business in Q3 and I guess that had an effect also in Q4 and in a sense that Soest business was not a good margin by the time we sold it. It has been a good margins two years ago but it was a business that wasn’t growing and that we weren’t investing in, because it wasn’t core to our business. But I think you’re going to see stuff increase over time. Certainly Spain is ramping up significantly. Slovakia is more than it was as programs have launched, and Germany, as we say, we’ve got some roll-off but the people have done a very good job winning work to replace that, that’s going to be ramping up again in 2017. So overall we think Europe is a growth area for us over time.
Todd Coupland : And maybe since we saw just one question from the last person, I will sneak one more in here. Just on North America, if I think about your margin improvement plans to get you to the target model, what are sort of the two or three big things that you will focus on in 2016 that we can benchmark you against? Thanks very much.
Pat D’Eramo: This is Pat. Certainly the continuation of our launch improvement, we’ve got a lot of launches coming over the next few years, that are pretty substantial based on wins that we had earlier this year. And frankly the plants that have the most opportunity for fundamental improvement tend to be in the US. I won’t say it only in the US and not all the US plants are in the same condition but we still have a lot of opportunity there. We also have the most of our improvement activity, it’s been focused on the US and that’s why we start to see a lot of the returns that we are seeing. So we will continue that on a very high pace in ’16 and then will be preparing ’17 and ’18 for the relatively large launches that will be coming.
Operator: Thank you. The next question is from Mark Neville from Scotiabank.
Mark Neville : You mentioned earlier smaller volumes in Riverside, and some shutdowns at certain plants from your customer side. I don’t know how specific you want to get, I am just curious what’s behind that, is it the product not selling as well or is there other issues, just maybe a little color if you could.
Pat D’Eramo: Yes, I will elaborate just a little bit. Relative to Riverside, I think from what I'm gathering and what we’re seeing, the product is very hot. But with any significant launch some suppliers have issues. I am happy to say we didn't have any significant issues but it wasn't necessarily the case for the whole supply base. It is now and in our view very much under control and that launch is going extremely well, and there’s a lot of volume coming out of that plant. But it took a little longer in the fourth quarter than what we had put in our plant. So as far as going forward this quarter and into this year I expect that to be very good business for us. And then relative to other customers, just at the end of the year there were some inventory adjustments for some of our customers that affected some of our plants that was unplanned. I am not going to tell you that was a significant hit but it definitely was in there. End of Q&A
Operator: Thank you. There are no further questions registered at this time. I’d like to turn the meeting back over to Mr. Wildeboer.
Rob Wildeboer: Well, that was quick. If you have a record year, I guess, there are too many questions. But if any of you have further questions, or like to discuss any issues, concerning our company, please feel free to contact any of us at 416-7490-314. Thank you and have a great day.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and thank you for your participation.